Operator: Good day and welcome to the AdvanSix Second Quarter 2021 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Adam Kressel, Director of Investor Relations. Please go ahead.
Adam Kressel: Thank you, Matt. Good morning and welcome to the AdvanSix's second quarter 2021 earnings conference call. With me here today are President and CEO, Erin Kane; and Senior Vice President and CFO, Michael Preston. This call and webcast, including any non-GAAP reconciliations are available on our website at investors.advansix.com. Note that elements of this presentation contain forward-looking statements that are based on our best view of the world and of our business as we see it today. Those elements can change and the actual results could differ materially from those projected. And we ask that you consider them in that light. We refer you to the forward-looking statements included in our press release and earnings presentation. In addition, we identify the principal risks and uncertainties that affect our performance in our SEC filings, including our annual report on Form 10-K as further updated in subsequent filings with the SEC. This morning, we'll review our financial results for the second quarter of 2021 and share our outlook for our key product lines and end markets. Finally, we'll leave time for your questions at the end. So with that, I'll turn the call over to AdvanSix's President and CEO, Erin Kane.
Erin Kane: Thanks Adam and good morning, everyone. Thank you for joining us and for your continued interest in AdvanSix. As you saw in our press release, AdvanSix delivered record sales, earnings and margin performance in the second quarter, reflecting strong execution amid improving end market demand and tight industry supply conditions. Let me share a few highlights before Mike covers the details of our financials in a moment. This quarter's significant year-over-year and sequential improvement furthers the momentum we've built since last year. You'll recall we generated double digit net income growth in full year 2020 in a very challenging environment. In the quarter, the industries in which we participate were presented with supply chain and logistics disruptions, escalating raw material inputs and inflationary costs. And on the positive side underlying demand growth rates we haven't seen in some time. The strength of our business model and portfolio diversity and the continued execution to our long-term strategies, again enabled us to both navigate the challenges and capitalize on the opportunities to deliver the results you see on Page 3. We are highly focused on executing what is in our control. And when you look beneath the headline numbers, our record performance is bolstered by the improved earnings base that we have been building since then, which further provides an improved foundation for sustainable long-term performance. Volume growth was supported by historically strong plant utilization rates at both our Hopewell and Chesterfield plants. We converted a record 66% of our ammonium sulfate into higher valued granular grades to meet the growing demands of our domestic customers. Sales of our differentiated products accelerated in all focus areas of high value intermediate, high purity applications and differentiated nylon, as we're now reaching longer term mid teen revenue growth rates with profitability at more than two times the base business gross margin rate. The investments we've made in high return capital projects continue to generate strong returns at or over 20% IRR targets in total. We are delivering considerable improvement from our historical pretax impact of planned plant turnarounds of approximately $35 million through efficiencies in our processes and execution, and are now expecting an impact of $24 million to $27 million for 2021. Finally, our balance sheet health provides flexibility and optionality for further value creation. As we look ahead, the outlook for our business remains favorable. We're expecting continued strong execution amid robust industry dynamics overall to support record posting earnings and cash flow in 2021. There's a lot to be excited about across the organization, as we continue executing against our focus strategy and to deliver long-term strong and sustainable shareholder returns. With that, I'll turn it over to Mike to discuss the details of the quarter.
Michael Preston: Alright, great. Thanks Erin and good morning, everyone. I'm now on Slide 4 where I'll highlight the second quarter financial results. We once again executed very well, as Erin pointed out with strong volume growth, pricing improvement, margin expansion and robust cash generation. It was really a terrific quarter, really across the board. Sales totaled 430 million, that's up 80% compared to last year. Sales volume in the quarter increased 32% driven by improved end market demand across our product lines. Pricing was favorable by 56% comprised of raw material pass through pricing of 31% following a net cost increase in benzene and propylene and market based pricing of 25%. The improvement in market based pricing reflects higher pricing across each of our product lines. I will note market pricing and volume were also up meaningfully from the first quarter of 2021. EBITDA was a quarterly record of 76 million, that's up nearly 150% versus the prior year and up 38% sequentially compared to the first quarter of 2021. I'll walk through the key year-over-year variances on the next slide. Earnings per share of $1.53 increased to $1.12 per share versus the prior year. In the quarter we saw a higher effective tax rate compared to last year primarily driven by two items that reduce last year's tax rate. First was the impact of changes in geographical sales mix on state tax and second was additional research tax credits, which combined had a large impact to the tax rate last year due to lower income levels. We continue to expect the full year tax rate to be approximately 25%. And finally, cash flow from operations was robust in the quarter, reaching $52 million. That's up about 43 million compared to last year primarily due to higher net income partially offset by the unfavorable impact of changes in working capital. CapEx of 10 million was favorable by roughly 7 million year-over-year reflecting capital process efficiencies and timing of project execution. Now let's turn to Slide 5. Here we highlight a few of the key drivers of our second quarter EBITDA performance year-over-year. Pricing of raw materials was roughly a $26 million tailwinds year-over-year. Tracking our key variable margin drivers performance in chemical intermediates reflected a continued favorable supply and demand environment for acetone over propylene spreads. Caprolactam and nylon over benzene were up year-over-year as well reflecting continued improvement in industry spreads supported by tight industry supply, while demand has steadily recovered. Ammonium sulfate on a net price over natural gas and sulfur basis was modestly down year-over-year primarily reflecting the sharp increase in input costs in the quarter. You recall we benefited from historically low natural gas and sulfur prices for most of 2020. In the second quarter of 2021, the price of these inputs continue to spike higher year-over-year due to supply considerations and a strong agricultural environment overall. Sequentially moving into the second half of 2021, we expect these input costs to stabilize and anticipate benefiting from recent ammonium sulfate price increases. Improved volume and mix were approximately 26 million favorable in the quarter as well. We drove increased sales volume across all of our major product lines reflecting our strong execution in a more favorable end market environment. Lastly, other items were approximately 7 million unfavorable in the quarter. Increased plant spend to support volume growth, higher incentive compensation expense, and an approximately $1 million unfavorable impact of planned plant turnarounds year-over-year were partially offset by roughly 2 million in favorability from initial insurance proceeds related to the 2019 shutdown of cumene supplier Philadelphia Energy Solutions or PES, so overall strong commercial and operational execution in the current set of industry conditions. I would also highlight that embedded in these results is a meaningful gross margin growth from differentiated products year-over-year. Our investments into high purity applications, high value intermediates and differentiated nylon are generating solid returns for the business. Now let's turn to the next slide. On the left side of Page 6, we've highlighted the drivers of the robust 42 million of free cash flow generation in the second quarter supported by net income and lower CapEx spend rates. Another very strong quarter from a cash flow perspective building on the 43 million of free cash flow generated in the first quarter. Working capital was roughly $10 million use of cash in the quarter with customer advances representing a $17 million unfavorable impact primarily reflecting sales from our fourth quarter ammonium sulfate pre-buy program, partially offset by other working capital. As we shared previously, our CapEx spend has come down in line with our targeted priorities for the year. We expect our CapEx run rate to increase in the back half of the year. However, we now anticipate a full year 2021 range of 65 million to 70 million compared to our prior expectations of 70 million to 80 million, reflecting efficiencies in our capital processes, as well as timing of project execution. Improved cash flow generation enables more flexibility from a balance sheet perspective to create value for our shareholders. And our capital deployment framework is depicted on the right side of this page. It first starts with our operating cash flow and we continue to expect robust generation for the remainder of 2021 and beyond. We anticipate base CapEx on a go forward basis of roughly $75 million per year on average to sustain the business. That's a combination of our maintenance capital, which supports high plant utilization rates, plus health safety and environmental CapEx supporting safe and stable operations as well as compliance and risk mitigation. We will also maintain prudent leverage levels and closely manage our cash and debt and anticipate remaining within the target range of one to two and a half times net debt to EBITDA. As for discretionary choices to create value, we continue to favor high return organic projects. You recall we spent over $100 million on high return growth and cost savings CapEx since the spin. We started with a pipeline of $150 million to $200 million and have executed against that targeting of projects with an IRR of approximately 20% or more. At current, that pipeline continues to be robust at roughly $50 million to $100 million of smaller projects from which we continue to refine, prioritize and execute against. The timing and size of these projects can vary quarter-by-quarter or year-to-year, but we would anticipate roughly 10 million of spend per year on average in these growth and cost savings projects. Next, we are targeting accretive M&A. We completed our first acquisition earlier this year with Commonwealth Industrial Services or CIS, a packaged ammonium sulfate business. It was a relatively small acquisition. But as we've shared, the integration and synergy realization are progressing well ahead of plan. Although the timing of our next acquisition is something we can't predict, we maintain a disciplined approach and an active pipeline with a focus on bolt-ons that will provide growth and synergy opportunities. Lastly, return of cash to shareholders. This can come in the form of more structural returns such as a dividend, particularly in the light of free cash flow generation and conversion or more opportunistic in the form of share repurchases. As a reminder, we have repurchased over $100 million worth of shares since 2018 and have approximately $60 million remaining on our authorization. So overall, a disciplined capital allocation strategy that we believe is a value enhancement to our core strategies and a key focus to support attractive total shareholder returns. Now, let me turn the call back over to Erin.
Erin Kane: Thanks Mike. I'm now on Slide 7, where we've included our typical pricing and spreads across our product lines. Starting with nylon, we've seen spreads further improving through the second quarter. Again, this quarter was characterized by robust and market demand, rising input costs and continued industry supply constraints. The Asia caprolactam over benzene spreads average roughly 1050 per ton in the second quarter, which was an increase from just above $900 per ton in the first quarter of 2021 and up approximately $600 per ton in the second quarter of 2020. Spreads have recovered from trough levels and are relatively in line with marginal producer economics, reflecting a more disciplined environment commensurate with the underlying supply and demand improvement. Now, overall nitrogen industry pricing also increased both year-over-year and sequentially through the second quarter supported by strong agricultural fundamentals, including crop prices, farmer profitability and planted acres overall. We've seen consistent strong fertilizer demand from pre-plant beginning in March through top dress applications here into July. In addition, we continue to attract significantly higher raw material input costs for the industry. As Mike mentioned earlier, natural gas and sulfur prices were substantially higher in the second quarter of 2021 versus historically low prices throughout most of last year. And lastly, industry realized acetone prices over refinery grade propylene costs expanded further in the second quarter in a continued tight supply and demand balances in the US with planned and unplanned downtime impacting supply across the value chain. We've seen the continued expansion of the premium in the small medium buyer acetone prices over the large buyer marker on a year-over-year basis. Now as a reminder, this small medium buyer price is reflective of roughly one third of the domestic industry where pricing is predominantly really negotiated. Small medium, buyer pricing has moderate as you can see exiting the quarter that remains rather robust relative to last year in prior cycles. Let's turn to Slide 8 to discuss the outlook for industries. As I've been sharing, we're experiencing improved end market demand across the industries we serve amid tight industry supply that diverse end market exposure of supporting our expected favorable outlook overall. In nylon, we've seen supply constraints across the industry value chain at a time when demand in North America has remained relatively strong. Carpet and rug mill rates have been steady as residential and remodeling macro trends are supporting demand domestically. Our commercial construction activity has lagged residential on 2021. However, we expect improvement into next year. We also expect engineered plastics demand to remain resilient into auto, consumer and industrial and electric and electronics applications while food packaging demand for nylon is expected to remain steady. Growth in our base business is also being supported by a ramp up in our differentiated nylon portfolio, namely in wire and cable and our copolymer offerings, which we anticipate continuing. Our nylon efforts remain focused on supporting asset flexibility, new products and application development and customer qualifications to optimize our mix. In ammonium sulfate a number of key ag indicators continue to trend favorably as well. As we are now entering the next ag cycle, we continue to expect strong agricultural industry fundamentals through the 2022 planting season. Underlying demand coupled with nitrogen industry supply tightness and rising input costs all have supported increases in nitrogen pricing. With sulfur demand remaining robust as key nutrients supporting crop yields, we continue our efforts to drive the sulfur nutrition value proposition down the value chain. As we've described at this time each of the last few years, we do expect typical North America, ammonium sulfate seasonality to drive a higher mix of standard grade product sales into export markets in the third quarter, as compared to greater granular sales domestically at the height of the North American season in the second quarter. Now, historically, we've seen a sequential consideration of $10 million to $15 million higher COGS on average in the third quarter. However, in 2021, given the improved market dynamics and higher pricing environment, we anticipate the seasonality impact to be at or slightly below the lower end of the historical range typically seen. Moving to chemical intermediates, we expect the strong demand to continue for our products, which serve a diverse set of end markets and customers across building construction, auto, paints and coatings, solvents, electronics and pharmaceuticals to name a few. We're supporting growth across the portfolio through investments in high value and high purity applications. As we previously discussed, our EZ-Blox anti-skinning agent for alkyd paints as an example has seen great commercial traction. We are currently executing capacity expansion for that oximes portfolio to support robust regulatory driven growth, particularly in Europe. Acetone industry fundamentals continued to be an area of strength as I shared earlier. We anticipate those dynamics to remain strong and moving forward with continued balancing of supply and demand through the second half of this year. Let's turn to Slide 9 to wrap up before moving to Q&A. Our strategic priorities and value creation roadmap remain consistent as we target sustainable shareholder returns over the long-term. We're focused on enhancing our day to day execution by strengthening our culture and core foundations of excellence, improving through cycle profitability by driving superior operational and commercial performance, enabling sustainable long-term growth by enhancing our portfolio resiliency and enhancing value creation through discipline in capital stewardship. In the current set of industry conditions, we remain focused on delivering on our trusted partner promise for our customers. With terrific results to the first half of 2021, the outlook for our business remains favorable. The continuation of strong underlying demand trends across our core markets benefits from our high return capital projects and differentiated product portfolio and our operational agility are all supporting our expectations for the strongest annual earnings and cash flow since spin. The collective efforts of our 1400 teammates have positioned the company for long-term success and we are hopeful you share our excitement about the opportunities that lie ahead. We look forward to sharing more about our ability to deliver strong and sustainable shareholder returns at our upcoming Investor Day scheduled for September 28. With that, Adam, let's move to Q&A.
Adam Kressel: Great. Thanks Erin and Matt. Please open the line for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question will come from Vincent Anderson with Stifel. Please go ahead.
Vincent Anderson: Yeah. Thanks and congratulations on the quarter.
Michael Preston: Thank you.
Vincent Anderson: Yeah. So thank you for beating us over the head on the 3Q ammonium sulfate pricing dynamics, always helpful to have that reminder, but maybe specific to this year. I know Brazil is in a little bit of a different economic environment than the US has enjoyed and it also has access to Chinese AMSUL supply. So just given how strong the second quarter was, should we be expecting maybe a more pronounced decline into 3Q than normal.
Erin Kane: So now I appreciate the comment and just the kind of reminder you can get, again caught up in the air so thanks for noting the need to take this into consideration. We would actually guide to the lower end of our typical range we've seen. So if you go back over the last several years that we've modeled, we've typically talked about a $10 million to $15 million range where we can see really kind of the mix between the domestic to the export views coming into play. But as we really look at this next ag cycle the export markets have firmed a bit here for standard and supplied. We also are seeing our fall fill pricing reset those levels here domestically and have reset roughly 40, higher than 3Q of 2020. So we would guide you to the lower end of that range or perhaps even slightly below.
Vincent Anderson: Okay, alright, thank you. I did not - didn't catch the fall fill pricing sets, that's good to hear. I know this is harder to kind of quantify on the nylon side. But when we think about your differentiated intermediates and some of the investments that you've made there from a capacity perspective, I'm curious if you'd be willing to start putting some numbers around that. I know you're doubling, I think you said your oximes capacity. So what does a doubling of that look like from an EBITDA contribution, if you're willing to share?
Erin Kane: Yeah. So again we - because we have a consolidated P&L here Vince, it's hard for us to pull out the EBITDAs per product in that regard, but we kind of point to some factors for overall. We started out thinking about this combination of both high value intermediates, the target for the high purity applications and differentiate now that and overall differentiated products represented 8% of our sales in 2017. You recall, we had grown that to 12% last year in 2020. At the conclusion of this year overall, we would see - I mean are expecting something more like a mid teen long-term CAGR. If you look at sort of a four year CAGR at that point, and again these have gross margins that are really kind of tracking now at sort of 2X our based business, so you can kind of see that that is building to be meaningful margin growth and you can kind of take a look at it from that perspective. The 2-PO or the oximes, again, here is the number of oximes, but that one in particular we're investing in. For instance last year grew on a three year CAGR of 45%. So on an introduction basis, we're coming up the curve, if you will, almost sort of asymptotically on that introduction, and have seen great adoption continued into 2021. These are assets we've had that we just had to sort of modify and sort of release capacity on. They're really good investments for us here to continue reaching a nice end market, again, a product that's going to lower the toxicology profiles of the end product as well, so kind of a win-win on the sustainability front as well as profitability.
Vincent Anderson: All right, thank you and so I know you chopped it up to timing. But when you're having a great year and CapEx comes down anyways, is there anything more that we should read into that whether it's just staying out of the way of your own assets where markets are so strong? Or you are you may be having trouble sourcing equipment or labor in this market today?
Michael Preston: Yeah. No, I wouldn't read too much into it. If you look at it from a year-over-year perspective, last year we're - this year we're down, we spent 25 million and CapEx in the first half, which is below what you would expect from a typical run rate and down year-over-year because we were lapping some of the larger high return growth and cost savings projects last year. The scope of the turnaround this year is a bit smaller as well, requiring less capital. So that is a factor. The other thing is our growth and cost savings projects still continue, but the spend rate for those are closer to 5 million or less. And really, the reason for that is as we develop scope and drive efficiency in our execution, we've been able to bring those costs down and the returns up for those. So that's actually a good news story. And we're not really slowing down projects. We're driving efficiencies in our process, in our planning and our execution, but there is some project timing. So I will say in the second half, as you can look at our full year expectation for CapEx, the second half will be in that $40 million to $45 million range, so that it will be ramping up. And that's what I would anticipate as kind of an ongoing run rate, right, if you will, so we'll see that pick up here in the second half.
Vincent Anderson: Okay, excellent. That's helpful. And then I guess just based on your results, I mean, it doesn't seem like you had any issues handling the disruptions in logistics and petrochemical production under key mean supply side, but is there anything specific that you want to call out there or anything to be mindful of into the back half of the year?
Erin Kane: Yeah. So I appreciate that. And if you kind of look at where we've been in the first half on the cumene supply obviously, we talked about this in the last earnings call that we were well positioned. We had anticipated a heavy turnaround situation in January to hit pre-bought that allowed us to navigate through the first part of the year here rather well. The industry is operating with two current cumene force majeures. Again, we think our agility, and our focus on our integrated supply chain and how we manage risk on an ongoing basis is going to allow us to navigate this, this well, but I think it is mindful that at least to two suppliers that current are in force majeures in the third quarter.
Vincent Anderson: Got you and I'm just going sneak one more in, it's great to see residential construction contributing to nylon demand. It's not really been part of the story in quite some time. In your conversations with customers has it gotten to a point where it's more than just the sheer magnitude of residential investment overall? Or are we actually starting to see maybe a little bit more penetration, so to speak of carpeting?
Erin Kane: Yeah, it's an interesting question and one that we continue to as you would imagine, kind of probe on with them. And as they are trying to uncover some of the trends here as well, because at face value, certainly, the macro trends are remodeling, folks being at home have driven up the demand relative to that, also sort of resale is typically another triggering event for folks to look at replacements. And one of the considerations that we were trying to keep an eye out here is PET has been snug as well. And it's interesting, sort of older nylon machines can't run polyester, but newer polyester machines can run nylon. So it's one of the things that probably more transitory, but certainly it's something that we're watching it. I'm sure it again, is, all of the value chains, kind of realign themselves through the back half of the year is a consideration. But if you look at the mill rates, I mean, the mill rates are only recovered. And if we looked at - year-over-year, they're up 27% from a June basis. But when you go back to June 2019, they're only down about 4%. So you kind of look at a two year basis, whereas we were seeing steeper sort of 10% declines prior to the pandemic, it does feel that perhaps things have certainly plateaued, if not picked up a little bit back on the soft side.
Vincent Anderson: Excellent. All right. Well, thanks again, and best of luck on the rest of the year.
Erin Kane: Appreciate it.
Michael Preston: Thank you.
Operator: Our next question will come from David Silver with CL King. Please go ahead.
David Silver: Okay, thanks. Good morning.
Erin Kane: Good morning David.
Michael Preston: Good morning.
David Silver: Yeah. I had a question. This is more like an anchoring question. And it has to do with your use of the term record regarding this year's results. So I guess maybe I just would like to focus on either you pick the metric, but revenues and EBITDA maybe. But when you talk about a record year that you're expecting, I'm just wondering what the timeframe is there. So your company's coming up on your fifth anniversary? And I guess 2017 was kind of a record year from that timeframe, but if you look back not too far beyond that. I mean, I think in the perspective, there were some bigger years prior to when AdvanSix was spun out, 2012, 2013, I believe. And Erin, I'm asking because I think you were directly in charge of the same assets at that time. So when you say, record performance this year, is it just in the five years or so since you're public or does it extend kind of further back? And if you had any perspective, I'm guessing you may have looked back there, but what is the potential for the current mix of assets and market fundamentals to drive results as high as the 2012, 2013 levels? Thank you.
Michael Preston: Yeah. So to clarify Dave, we're talking when we say record, record outlook for this year, it is relative to the post spin financials, so it would - we're not comparing against financials prior to the spin. Clearly those were carved out financials under Honeywell different structure at that time, so just want to clarify that going forward. And then in terms of the wreck, I mean, I think Erin pointed out very well and very clearly that a lot of the things that we're driving across the business since 2017 are creating a very strong foundation for us to perform, execute in a very favorable environment, but also setting ourselves up for long-term value creation. We've talked about the differentiated products, the type of growth and returns we're seeing there. We talked about the CapEx investments, the 100 million and the 20% internal rate of return that we're achieving as well as some of the other operational improvements around a granular conversion improvements et cetera. So we feel very good about the underlying foundation of this company, and how we've improved it since it's been and setting ourselves up for record earnings since the spin and strength and good tailwinds as we go forward.
David Silver: Okay, thank you for that. I had a couple of questions, I guess, about the volume growth this quarter. And you guys are definitely accurate in your reporting, but you're maybe doing the comparisons versus the pandemic affected conditions of a year ago. And I was just wondering - I was trying to scratch my head and look at the sequential trends 2Q versus 1Q. Can you kind of maybe break down the 16% revenue growth in the same manner that you broke down the year-over-year 88%? How much of that was volume? And in particular, I'm just kind of wondering if the second quarter reflected excess volume above what you could sustainably produce? In other words, where you may be borrowing a little bit of sales volume from other quarters just due to the exceptionally robust demand? I mean, I didn't see it in your inventory numbers so much, but I think price of COGS might be clouding that a bit. So kind of a price volume view sequentially would be helpful. Thank you.
Michael Preston: Yeah. Sure. Happy to help now, first of all, I wouldn't - I characterize our performance as we think about the second quarter versus the first quarter as - or our performance in the quarter as borrowing from any other quarter. I mean, the quarter stands on its own. You saw the inventories were relatively flat in the second quarter relative to the first. But as you look at the sales growth from the first quarter, we did grow about 16%, a good percentage of that was really in pricing, majority that was in pricing and really favorable price across the board, really across all product lines. And we did have sort of low to mid single digit growth in volume as well, so that that gives you the primary drivers of the sequential performance from 1Q to 2Q.
Erin Kane: And maybe if I could just add, because I think it's something we talked about as they were recovering through the pandemic from Q2 of last year Dave, was the mix particularly in nylon. I guess, you recall that we had not only sort of the volume hit relative to the largest impact occurring in the nylon markets, but as they recovered that put us in an exposure consideration to export - to meet demand where it existed. If you think about revenues in Q2 of last year, 26% of our nylon revenues went to export. This year, it was seven, right. So again, being able to bring our value proposition to our customers here in North America as demand has recovered, to having that value proposition of being the sole producer of our high six concentration copolymers is playing out. So I think there's also consideration here on mix year-over-year that plays into that picture as well.
David Silver: Okay, thank you for that. My next question would be regarding I guess logistics and shipping costs and supply costs and logistical reliability and any other supply chain issues. So I think Vincent touched on it from a cumene perspective, but I was hoping you might expand that to a broader view of how you're viewing your logistics and supply chain comfort or your confidence. And just real quick, but I've had about 10 companies report. And my joke is there's been an unprecedented use for the term unprecedented to describe supply chain challenges. And I didn't hear any of that from Mike or Erin in the opening remarks. So maybe just a broader comment on how you see your supply chain and any challenges that you anticipate in kind of meeting your internal targets over the next quarter or two. Thank you very much.
Michael Preston: Yeah, I mean, certainly, Dave, things have been tighter. And you think about how we transport a lot of our materials domestically and also in the export markets, think about containerized ocean, rail, trucking, we've certainly have felt things being very tight really across the board and the amount of capacity available. Probably where we felt the most is in trucking. But again, we have very good strong channels to market. We view this as one of our advantages and our strengths as we deliver products to customers. Things have been tight. There have been limited in capacity. But my sense is the overall, as we look back in the first half of the year. We've managed it very, very well. We've been able to secure the transportation we need to get and to deliver to our customers. And frankly, we're very proud of that. We've seen some inflation in logistics overall. But we've been working hard to mitigate that through productivity projects, but also passing that through. As we've demonstrated, we're very good out. So in terms of the second half of the year, we expect things to continue to be tight, but we're going to manage it as well as we could, and we anticipate that not being a hurdle to us to meet our objectives in the second half.
David Silver: Okay, great. I do have one or two other questions. I don't want to kind of take up too much time. But will there be time to get back in queue?
Michael Preston: Yeah.
David Silver: Okay, I'm going to stop there. And I'll get back in queue. Thanks very much.
Michael Preston: Thanks Dave.
Erin Kane: Thank you, see you back.
Operator: [Operator Instructions] Our next question will come from Charles Neivert with Piper Sandler. Please go ahead.
Charles Neivert: Good morning, guys.
Erin Kane: Good morning.
Michael Preston: Good morning.
Charles Neivert: It's been a little while, so glad to be back. One question please, at the current price for the shares, which have obviously elevated from their lows from a while back. And is it reasonable to be buying them back versus looking at the acquisitions? I mean obviously, that's always the case as you have a certain amount of money you can spend on either acquisition which would bring money in or buying the shares which may be a great value. As where the shares sit now is one of the other sort of - and have the lead on use of cash going forward. I mean, assuming that shares generally sit in the range they are right now.
Michael Preston: Yeah. I mean, it's a good question Charles. And that's part of the reason I think why we wanted to be very clear on our capital deployment framework and why we've shown the prioritization of that in the presentation. The first of which we've talked about in the past is funding our growth and cost savings projects, which we are, but we're also very active with respect to evaluating M&A opportunities. And we did our first one here in the first quarter. That one is paying off, is performing very, very well ahead of expectations. And in terms of returning cash to shareholders clearly, we're going to be continuing to evaluate a more of a structural return, specifically a dividend and we'll view share repurchases as more opportunistic going forward. We've done quite a bit historically. We've repurchased $100 million worth of the company, which was over 10% of the company since 2018. So we feel very good about what we've done. And we will continue to evaluate that on an opportunistic basis.
Charles Neivert: Great, thanks, And obviously if the share keeps going up it makes share purchase sort of less of a lower probability to given essentially the success you've already had on acquisition. Another question, you're keeping or you're heading towards fairly conservative like method to evaluate, I think you've mentioned between 1 and 2.5. And I think most would consider that fairly conservative. But given the time being in that range or on the low end of that range is sort of reasonable. But if things keep going the way they are you're generating more cash, you certainly grow a little bit better clip, is it more reasonable to think you might sort of tend towards the high end of the range and then give yourself a little bit more financial flexibility to work things. And I know that being a cyclical industry, 2.5 can quickly turn to 3.5 or 4, if you get one of these cyclical downturns. But are you guys going to start - if things continue as they are, do you think you feel more comfortable at the upper end of the range, or that's just the range you want to keep ongoing no matter what?
Michael Preston: I mean, look, we'll continue to evaluate the range. I'd say right now we're comfortable in that range of 1 to 2.5. And being at the low end of the range where we are today offers us a lot of flexibility around what we can do with respect to creating additional value, whether it be through M&A or returning cash to shareholders, so very good. I wouldn't say being where we are will make us more comfortable to go way above that range. We still feel very good about that range. And again, feel very comfortable where we are and again, affording us the flexibility and the optionality as we go forward.
Erin Kane: And Charlie I'd just characterize that as for how we look today, right. Obviously, as we enhance the size, free cash flow profile, margin stability over time, right, that range could look very different to your point as to what the portfolio looks like in the future and as we continue to enhance the resiliency of those kind of core valuation metrics.
Charles Neivert: Yeah. I mean, clearly, the hope is things get to the point where you feel comfortable, let's say the low end being 2 to 2.5 because your upper end really doesn't put you beyond in a position where it gets very uncomfortable. And if you're in some sort of a low end of the current range things get a little ugly, you really end up at the high end of the range or maybe as Matt had think about, but it really doesn't put you in any real jeopardy. Another last question for me is probably costs seem to be all over the place over the last year or so. I mean, they've been really volatile. Is there anything you guys are doing to try and deal with that volatility? Or is there anything you can do to help deal with that volatility? Or do you end up suggest pass that through you don't really care?
Michael Preston: Look, I mean, propylene has been volatile, as you mentioned. Things got very tight in Q1 with the winter storm and we saw propylene prices really spike up in Q1 and then sequentially as we got into Q2 they moderate and actually had gone down, one of the few raw materials that constantly went down in the second quarter versus the first quarter. But the way we protect ourselves is through our formula based contracts. And as we've talked about in the past half of our business is on formula contracts. And so we pass that through and for the remaining portion that's not on formula, we do a great job getting out there getting those price increases in if raw materials go up and make sure we recover any exposures. And that, as you can see has been demonstrated quarter after quarter here. Given the inflation that we've seen across a lot of the raw materials that we buy, we've been successful in doing that, so hard to control the price appropriately and overall, obviously, we track it and we keep close eyes on the supply and demand and how things are progressing, but feel very good about how we respond and how we recover and really, again, a testament to our business model and the fact that we protect our variable margin.
Charles Neivert: Great. Thanks very much, guys. That's it for me today.
Erin Kane: Perfect. Good to hear from you. Thanks Charles.
Michael Preston: Thank you, Charles.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Erin Kane for any closing remarks.
Erin Kane: Great. Thank you all, again, for your time and interest this morning. I'm very proud of how our organization continues to support our customers while delivering terrific results. The outlook for our business remains favorable as we were executing the focus strategies within our value creation roadmap and we are confident in our ability to create long-term and sustainable total shareholder returns. So with that, we look forward to speaking with you again next quarter, stay safe and be well.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.